Operator: Good morning. My name is Brent, and I will be your conference operator today. At this time, I would like to welcome everyone to the Weyerhaeuser Fourth Quarter 2014 Earnings Conference Call. [Operator Instructions]. Thank you and I'd now like to turn the call over to Denise Merle, Senior Vice President of Human Resources and Investor Relations. Please go ahead.
Denise Merle: Thank you, Brent. Good morning, everyone, and thank you for joining us today to discuss Weyerhaeuser's fourth quarter 2014 earnings. On the call with me this morning, are Doyle Simons, CEO; Patty Bedient, CFO; and Beth Baum, Director of Investor Relations. This call is being webcast at www.weyerhaeuser.com. Our earnings release and presentation materials can also be found on our website. Please review the warning statements in our press release and on the presentation slides concerning the risks associated with forward-looking statements, as forward-looking statements will be made during the conference call. We will discuss non-GAAP financial measures, and a reconciliation of GAAP can be found in earnings materials on our website. I will now turn the call over to Doyle Simons.
Doyle Simons: Thank you, Denise and good morning everyone. As we enter 2014, we embark in the journey here at Weyerhaeuser to grow at truly great company. As we said at that time, the three primary levers we are pulling to drive shareholders, our portfolio performance and capital allocation. Over the past year, we've made significant progress. Specifically in 2014, we'd divested our home building business to become a focused forest product company, achieved our 2014 operational excellence targets and improved earnings from our continuing operations before special items about 22% to $700 million or $1.25 per diluted share compared with $572 million or $0.99 per diluted share in 2013. In addition, we increased our dividend by 32%, authorized a new $700 million share repurchase program and within five months completed nearly 30% of that authorization. Through these actions, we demonstrated our commitment to delivering shareholder value and our total share of return for the full year of 2014 exceeded 17%. Included in these full year results are the strong fourth quarter operating earnings we reported this morning. We out earned $166 million or $0.31 per diluted for the fourth quarter. Our net sales from continuing operations of $1.8 billion excluding special items, we are into $145 million or $0.27 per diluted share an increase of 31% compared with the year ago quarter. Special items for the fourth quarter included an ongoing gain from a change to post-retirement health plan and restructuring charges associated with our SG&A cost reductions. I'll begin the discussion of our businesses performance with some brief comments on housing. Housing starts showed continued improvement in the fourth quarter, albeit at a modest rate. U.S. housing starts totalled just over $1 million for 2014, an improvement of approximately 9% compared with 2013. We are confident that housing markets will continue to strengthen in 2015 at accelerating employment growth; strong consumer confidence, low mortgage rates and initiatives to improve mortgage availability should support increased household formation. We anticipate over $1.1 million housing starts for 2015. Let me now turn to our business segments starting with timberlands, Chart 4 to 6. Timberlands contributed $143 million to fourth quarter earnings compared with a $136 million in the third quarter. In the West, fee harvest volumes increased as we were able to access tracks that had limited operations during the third quarter's fire season. Average realizations for Western logs rose due to tighter domestic markets and a favorable export log mix. Japanese demand remained solid during the quarter. Chinese demand slowed and prices for Chinese export logs declined. Although Chinese inventories decreased during the fourth quarter, they remained above normalized levels and the weak Rouble improved the competitive position of Russian logs. Operational excellence initiatives to drag each log to its most profitable customer contributed to the strong performance in the quarter. [indiscernible] acquisition contributed $44 million of EBITDA in the fourth quarter. This acquisition has been fully integrated into our Timberlands operations. In the south, fee harvest volumes rose and average realization increased compared with the third quarter. Fourth quarter earnings included $3 million from disposition of non-strategic Timberlands, a decrease of $16 million compared with the third quarter. Our Timberlands business met or exceeded all of its operational excellence target for 2014 including $194 million of EBITDA from the Longview acquisition against the target of $175 million to $185 million, $29 million of synergies against the target of $20 million and over $20 million of operational excellence improvements. We anticipate an additional $20 million to $30 million of operational excellence improvements in 2015 in this business. I will turn to wood products Chart 7 and 8. Wood products contributed $56 million in the seasonally weak fourth quarter down from $105 million in the third quarter. Earnings for the segment were comparable to the fourth quarter 2013 as benefits from our operational excellence initiatives offset a 13% year-over-year decline in average OSB realizations. Wood products EBITDA for the fourth quarter 2014 totalled $86 million compared with $135 million in the third quarter. In lumber, EBITDA totalled $65 million average price realizations declined approximately 4% compared with the third quarter. Log cost of western and southern mills increased and per unit manufacturing cost rose due to seasonally lower production volumes. In OSB, EBITDA decreased by $4 million compared with the third quarter due to a 4% decrease in average realizations. Engineered wood products reported fourth quarter EBITDA $14 million, a slight increase in average sales realizations was more than offset by seasonally lower sales volumes and higher fee manufacturing cost due to reduced production volume. EBITDA for the distribution business declined $6 million compared with the third quarter, but improved by $5 million compared with the fourth quarter of 2013. In 2014, the wood product segments achieved over $100 million of benefit from operational excellence initiatives including delivering on our commitment to improved EBITDA and engineered wood products and distribution about $30 million to $40 million in each business. We've made good progress, but much more work remains to be done, as we continue our focus on operational excellence in 2015. We have committed to deliver an additional $25 million to $30 million of operational excellence from our lumber business, $10 million to $15 million from OSB, $15 million to $20 million in engineered wood products EBITDA and $20 million to $30 million of EBITDA from distribution. Let me know turn to cellulose fibers, Charts 9 and 10. Cellulose fibers contributed $87 million to earnings, an increase of $28 million compared with the third quarter. Fluff pulp markets remain strong in the fourth quarter and average pulp price realizations increased. Maintenance cost at our liquid packaging board facility declined substantially and production increased volume completion of extended outage that occurred primarily in the third quarter. As anticipated, liquid packaging board realization declined in the fourth quarter due to a temporary shift in mix, as we restarted the facility. Shipment volumes for that product also declined as result of slowdown associated with the West Coast port labour disputes. The Cellulose fibers business finished the year with strong operational performance with several mills setting annual records for uptime, productivity and quality. The business generated nearly $30 million of operational excellence improvements in 2014 and is targeting another $25 million to $30 million in 2015. As I wrap up this morning, let me touch briefly on SG&A. At the end of 2014, we had achieved our $75 million run rate reduction targets. Moving forward, we will continue to seek opportunities to simply and reduce cost to ensure that we have the appropriate cost structure require to win. I will now turn it over to Patty to discuss our first quarter outlook.
Patty Bedient: Thanks, Doyle. Good morning, everybody. The outlook for the first quarter of 2015 is summarized on Chart 12. I will begin with discussion with Timberlands. Fee harvest in the left is anticipated to increase seasonally. Western domestic prices are expected to move higher and we are shifting supply into those markets. Japanese volume will likely decrease due to the softer overall Japanese housing demands and seasonal weather conditions. Sales realizations for China logs are expected to decrease somewhat, but the impact softer prices is being partially offset by lower freight cost. Inventories at Chinese ports have been declining; the take away has not yet been strong enough to bring balances to normal levels. Demand is not expected to tick up until after the lunar holiday. Logging and road cost should decrease in the quarter, as the results of harvesting lower elevation sites and less road construction activity. In the South, we expect fee harvest to decline seasonally. We anticipate slightly stronger pricing, although realizations will likely be flat due to a somewhat smaller log size. Earnings from non-strategic land sales are anticipated at around $10 million compared to $3 million in Q4. We expect earnings in our Timberlands segment to be significantly higher than the fourth quarter and up slightly from the first quarter of 2014. In wood product, we anticipate higher sales volumes in Q1 compared to Q4 due to seasonal improvement and demand slowly improving housing markets. Fee increase in single-family starts, which improves by almost 8% in December on a seasonally adjusted basis compared to a year ago, is a positive sign. Channel inventories are very lean so assuming a more normal strain [ph] buildings season we should see uptick in pricing. Prices in lumber and OSB however have decreased since year-end, but we expect realizations to improve as we progress further into the first quarter. Average realizations for engineered wood products are anticipated to decrease slightly due to product mix. However this decrease should be more than offset, by higher sales volumes. Log costs are expected to increase while manufacturing unit cost should be lower on higher production volume. Resin cost should also decrease as a result of low oil prices. Overall, we expect earnings in our wood product segment to increase significantly in the first quarter compared to the fourth. In cellulose fibers, day supply of global softwood inventory has increased to 31 days as of year-end, which is above normal levels. The combination of a stronger dollar and the usual seasonal slowdown in demand is likely to negatively affect full pricing. We also expect to incur higher maintenance expense this quarter as our largest fluff mill takes it plants maintenance shutdown. Sales realizations for liquid packaging are expected to increase this quarter compared to Q4, due to a more normal sales mix. The problems encountered as a result of the West Coast port slowdown have continued into this quarter. So far this quarter, we have scheduled 13 days of downtime at our Longview liquid packaging board facility due to the port situation. Although negotiations are underway with the federal mediator the issues have yet to be resolved. In addition to downtime, we are also incurring additional dollars for increased freight and warehousing. We expect overall earnings in cellulose fibers segment to be significantly lower in the first quarter compared to the fourth quarter and likely more comparable to the first quarter of 2014. Chart 11 shows the detail of unallocated items. Earnings in Q4 were negatively affected as unallocated items increased by approximately $23 million in Q4 compared to Q3. The largest increase was the change for profit and inventory in LIFO, which accounted for $14 million of the difference. Higher share-based compensation as a result of the increase in the stock price during the quarter accounted for an additional $8 million of the difference. Referring to Chart 13, I will catch on some overall financial comments. Cash flow from operations for the fourth quarter was $304 million. Major uses of cash during the quarter included capital expenditures of $124 million dividend payments for preference and common stock of $174 million and share repurchases of approximately $80 million. This brings our total share repurchases for the year to just over $200 million or approximately 30% of our current authorization. We ended the year, with total shares outstanding approximately of 524 million shares down from approximately 584 million at the beginning of the year. The divestiture of our home building business in the third quarter of last year resulted in retiring approximately 59 million shares. Total capital expenditures for the full year of 2014 including reforestation was $395 million for 2015, we are expecting expenditures in the range of $480 million to $500 million consistent with the guidance we gave at our investor meeting, this past December. I'll now wrap up with an update on the status of our retirement benefit plans. The unfunded status of our defined benefit pension plans and post-employment retirement plans increased by approximately $820 million as of the end of 2014 compared to 2013. This increase in unfunded status was primarily driven by the implementation of new mortality table and decreasing discount rate. The updated mortality table accounted for approximately $400 million of a deficient increase. And the majority of the remaining change was due to decreasing the discount rates by approximately 80 basis points for both the U.S. and Canadian plants. We did not make any cash contributions to the U.S. qualified pension plan in 2014 and we don't anticipate any cash contributions for that plan in 2015. Cash paid for other pension and post-retirement benefits in 2014 was $101 million. We expect total spending in 2015 to be approximately $90 million. Our primary contributions in 2015 will again be for our Canadian plants for approximately $40 million with the remainder going to pay for benefits under our supplemental pension plans and other post-employment benefit plans, none of which are separately funded. Chart 15 details pension and postretirement benefit plan expense from continuing operations by segment. For 2014, the full year net to zero. Pension and post retirement plan expense for 2015 is estimated to be approximately $40 million. The increased expense is driven by the adoption of the new mortality table and decrease discount rate. Now I'll turn the call back to Doyle and I look forward to your questions.
Doyle Simons: Thank you, Patty. In 2014, we demonstrated our commitment to driving shareholder value by improving performance through operational excellence and returning cash to shareholders. As we enter 2015, our priorities remain unchanged. We remain relentlessly focused on driving operational excellence to the fully capitalized on our improving markets and deliver value to our shareholders and wit that; I'd like to open up the lines for questions.
Operator: [Operator Instructions] your first question comes from the line of Mark Wilde with BMO Capital Markets. Please go ahead with your question.
Mark Wilde: Good morning, Doyle. Good morning, Patty.
Patty Bedient: Good morning, Mark.
Doyle Simons: Good morning, Mark.
Mark Wilde: I wondered, if the two of you could talk a little bit about the impact of FX move across your overall portfolio, you made a couple of references to this in the commentary already this morning.
Doyle Simons: So, Mark let me talk generally about the effect of the stronger dollar across our businesses and then, Patty to fill in any of the details, but just generally you know stronger dollars generally is not a positive for Weyerhaeuser in terms of Japanese logs, what we seen is the demand is not been affected by the strong dollar as I referenced and Patty referenced in our comment, but if it continues, it could have potentially affect our price. In terms of Chinese logs, what's happened there, weak Rouble is making Russian logs less expensive than U.S. logs that of course reduces the price that the Chinese are willing to pay. Now with that said, as you very well know there is a practical limit on just how much Russia can provide and the other thing, we are at prices are not at desirable levels. We are able to redirect some of our logs to domestic markets there, in those domestic markets are holding up very well. In terms of wood products, the Canadian lumber mills are benefitting from the higher margins on shipments to the U.S. overall and then on Cellulose fibers as Patty alluded to the strong dollar at this point is not effected demand, but we do anticipate lower prices due to considerable pressure from Fluff pulp's customer primarily in Europe and currently India's K prices are under some pressure. So that's kind of the big picture impact of what's happening because of the stronger dollar.
Patty Bedient: Sure, the only other thing that I would add, I think Doyle really went through all of the businesses, I would just call your attention to Chart 11 that I talked to in my comments and you notice there, that there is an FX loss both in the third quarter and the fourth quarter, that's really a function of U.S. Dollar denominated debt that it held by our Canadian subsidiaries. So as the Canadian Dollar depreciates as it did, again the fourth quarter that takes more Canadian Dollar pay off that loan, so that's what generates both of that loss there. Now as you look forward into Q1, the Canadian Dollar to-date, I think has depreciated even more than it did in the fourth quarter, but that would be driven ultimately by whatever the exchange rate as of the end of the quarter.
Mark Wilde: Okay and Patty if I could ask just one follow-on, I wondered if you could talk a little bit about sort of that big cash position you're sitting on, at the rationale for holding so much and kind of tied with that, how you think about the completing the remaining share repurchase authorization, you have about $500 million out there, yet.
Patty Bedient: Yes, so we are very committed to completing that authorization and we have a little under $500 million left to go, the other thing I would say, is that we think, we should have a cash balance somewhere between $300 million and $500 million. So we do have significant cash yet to create additional value for shareholders and we'll be talking about that, as we go into 2015 and have been discussing that, but I really don't have anything more to add. In terms of what we would use that for, other than just to reiterate that our priorities for capital allocation are first and foremost concerning cash to shareholders, investing in our businesses and maintaining our appropriate capital structure and to that end, I should probably add that. In January, we did receive an upgrade in our investments rating to BBB from BBB minus from S&P. So I think our capital structure is in good shape.
Mark Wilde: Okay, very good. Thank you.
Operator: Your next question comes from the line of George Staphos with Bank of America, Merrill Lynch. Please go ahead with your question.
Unidentified Analyst: Hey good morning, this is actually John Babcock [ph] sitting in for George. How are you doing today?
Doyle Simons: Good, how are you this morning?
Unidentified Analyst: I'm doing very well, I just I know you talked a little bit earlier about the performance improvement and for as far as, Doyle if you could discuss, how everything is going on in that front, especially in 4Q and additionally are there any segment performance goals that are looking more difficult to achieve than when you presented back in December. And then lastly and the with the G&A expense reduction the fourth quarter, what was that ultimately focused?
Doyle Simons: Yes, so in terms of OpEx targets, we continue to make progress in fourth quarter, 2014 and ended up essentially in line with what we laid out at our December, 9 presentation. So we're encouraged by the progress, we continue to make. In terms of 2015, as we specifically laid out on December 9, we think there is a lot of additional opportunity. We identified $20 million to $30 million of additional OpEx opportunity in Timberlands, another $20 million to $25 million in lumber, $10 million to $15 million in OSB. In ELP, here again the targeted is improving. EBITDA and that's $15 million to $20 million of EBITDA improvement in $20 million to $30 million of EBITDA improvement in distribution business and then $30 million to $35 million in cellulose fibers. So overall, very encouraged by the progress we're making, but still as I mentioned in my comments still a lot of work to do in front of us, but we are very focused on getting that to bottom line in 2015. Regarding your SG&A comment, our question if you will re-ask that, so make sure I'm more responsive to your question.
Unidentified Analyst: I was just wondering, it looks like G&A expense to come down in the fourth quarter and I was just wondering ultimately, what drove that?
Doyle Simons: When we laid out our SG&A target back at the end of 2013, we said it would take a balance of 2014 to get it fully implemented. So we continue to make progress in the fourth quarter and about end of the fourth quarter, we were at the run rate of above $75 million in terms of our SG&A targets. So encouraged by the progress, we made there and as I mentioned we've achieved that target, but we'll constantly be looking for opportunities to make sure we had the appropriate cost structure going forward.
Patty Bedient: You know, actually as you look at Q3 to Q4. Q4 is up over Q3 and that's really just a function of some of the timing that happened with year-end as well as the additional item in unallocated as I spoke about share-based comp etc., but as Doyle said we feel very confident about that $75 million reduction run rate.
Unidentified Analyst: Okay, good. Thank you for the colour there and then next, I guess before I pass it on, I was just wondering on the cellulose fibers front. First of all, it looked like liquid packaging realizations were down a little bit in 3Q and I was wondering, if most of that was seasonal nature or if there is any impact ultimately from the port disruption and then on top of that, how are the mills performing on the 18-month payment schedule?
Patty Bedient: Well, as it relates to the liquid packaging realization, the decrease in the fourth quarter wasn't driven by the port disruption. It was driven by the fact that we had, we were bringing up Longview liquid packaging as a result of the extended outage that we had in Q3. So it's just a little mix of lower grade board in the start-up of that facility coming up from the outage. You'll see in Q1 as I referenced in my comment that the tails realizations will increase in the first quarter more consistent to where we were on the more normal sales mix. So the fourth quarter decrease is really just a mix issue from the start off the machine.
Unidentified Analyst: Okay, great and then on the maintenance schedule briefly.
Patty Bedient: Yes on the 18 month schedule we are on track fully implemented for that. You know it will vary from year-to-year as 18 months, but we're pretty much on schedule to do that. As I mentioned, our largest fluff mill goes down this quarter. So that's our maintenance outage that we have in the Q1.
Unidentified Analyst: Okay, great. Thanks for the colour. I'll get back in the queue.
Operator: Your next question comes from the line of Mark Weintraub with Buckingham Research. Please go ahead with your question.
Mark Weintraub: Thank you was hoping to get a bit more colour on your encouraging comments on wood products prices expected to go higher as the quarter progresses and maybe, it's just kind of contextual, why they had been weak quarter-to-date and what you think and what degree of confidence, do you have, indeed they're going to turn?
Doyle Simons: Mark as you know predicting prices is always difficult, currently as we alluded to lumber prices are down slightly versus the fourth quarter average and OSB prices are down about $5 versus the fourth quarter average. We in talking to customers understand that, inventory levels are very lean. We also believe as we said, the housing is going to continue to improve. So our thought is as we move into closer to the stronger seasonal period that we will see a rally in lumber and OSB prices as we move throughout this quarter. So our comments to your point, our prediction regarding significant improvements in earnings in wood products in first quarter versus fourth quarter are dependent on pricing, but we do believe our crystal ball tells us that, we will see higher prices as we move through the quarter in wood products, but time will tell.
Mark Weintraub: Thank you and do you have any view as to what's been frustrating prices of late, there is some weather related issues or is there, just I mean, obviously seasonally it's not a great time, but any added colour you might have that anything unusual going on or just part of the seasonal process?
Doyle Simons: I think it's mostly the seasonal process, Mark. You know there have been some weather related events I don't need to tell you all, the north you all lived through one earlier this week. So I think there have been some isolated weather incidents, so far we haven't had the type of weather overall, that we had last year first quarter. So I think it's mostly seasonal, I think it is, some people being very conservative on their buying as I said, inventory levels throughout the system are very lean and that's part of why we believe that prices are going to rally because as demand does pick up, as we get to closer to this spring building period. We believe it's not to take a lot of pick up and demand to have an impact on pricing moving forward.
Mark Weintraub: Okay, that necessarily don't make sense and just lastly, as you think about the dividend this year. Can you kind of remind us, what the key metrics you'd be looking at that would determine any action you might want to take on the dividend later in the year?
Doyle Simons: Yes, let me just make a general comment about the dividend, you know it goes back to our overall leverage we pulled in and we clearly understand that the capital allocation is a key lever to driving shareholder value. You know as we've consistently said over our number one priorities in terms of capital allocation returning cash to shareholders through growing and sustainable dividend. As you know, we increased our dividend by over 30% in 2014 and I'll just tell you, we'll be working with our board later this year to determine the appropriate dividend level going forward. We have given general and I reference it as general guideline of 75% of that over a cycle in terms of dividend level, but again that's just a guideline but we do in fact understand the importance of growing our dividend and that's something we intend to do, continue to do going forward.
Mark Weintraub: And would it be fair to say, that you'd consider 2015 at least the way it looks out to be, not an above average year given that housing is still at fairly depressed levels or?
Doyle Simons: Yes, that's a fair comment. I mean, as we said we anticipate housing this year will be north of 1.1, but that's still a long way from kind of average 1.4, 1.5, and 1.6. So I would agree with your commentary.
Mark Weintraub: Thank you.
Doyle Simons: Thank you.
Operator: Your next question comes from the line of Mark Connelly with CLSA. Please go ahead with your question.
Mark Connelly: Thank you, two things. Doyle. First, how are you thinking about the relative value of U.S. versus non-U.S. Timberlands acquisitions? And then secondly, as you think about the targets you're setting for wood products for 2015 is the emphasis different than it was in 2014. I'm just curious because you achieved a lot so fast in those businesses and I'm wondering, if you got to do something different to get to next layer up.
Doyle Simons: So Mark in terms of the relative value of U.S. versus non-U.S. timberlands you know as we've said before, we look at all opportunities to grow our Timberlands both domestic and non-domestic. I will tell you, I think our bigger opportunity is going forward probably be in the U.S. we will look internationally I think one things we would be sure and do when we look internationally is, risk adjust based on the international exposure and we'll continue to that going forward. As you know, we have a very good plantation position in Uruguay. Those trees are we have a very good team there, those trees are very well positioned and growing really fast and those markets continue to develop over there, but as I tell you, we'll look both, but I think our bigger opportunities to grow our timberlands will be domestic going forward. In terms of our wood products, operational excellence targets. Mark, thanks for the comment. We did made good progress in 2014, but if that's it. We still got a lot of work to do in that business. Now I'm not going to tell you, it's going to be easy. Yes you continue to make progress on these. You kind of got some of the low hanging, so you've got it remain very focused on delivering that to the bottom line, that's why we set very specific targets and have very specific plans on how we're going to get there, both from the sales perspective as well as the cost perspective. So we are very focused on pulling every lever that we can pull to continue to drive OpEx improvements in the wood products business and are confident, we're going to reach the targets that we set out in 2015, but your point. I mean, it will get harder as we move forward, but I'm confident that we have the team and the focus to accomplish the goals that we set forth.
Mark Connelly: Thank you.
Doyle Simons: Thank you.
Operator: Your next question comes from the line of Gail Glazerman with UBS. Please go ahead with your question.
Gail Glazerman: Hi, good morning.
Doyle Simons: Good morning, Gail.
Patty Bedient: Good morning, Gail.
Gail Glazerman: I guess, just could I go back to some of the comments about currency and how that might flow into some of the market. Have you seen, can you give any sense of magnitude to the shift that you might have seen in Russia and maybe more detail. Have you seen any signs of Canadian lumber and being redirected from China into the U.S. then if so, any concerns if that might affect some of the western market?
Doyle Simons: Gail, as you would expect it's hard to know exactly what's happening in Russia situation. Clearly we are hearing and seeing that there is more logs coming from Russia into China. I think most of that's in northern china, as I understand it. So I think depending on what happens to rule that something, that continue but as outlined there are some practical limits based on just how much you can comment just on the infrastructure challenges, that Russia has had historically and we believe, will continue to have going forward. Patty, do you have any thoughts on the Canadian question and any redirects some lumber coming from anything going to China that's been redirected otherwise?
Patty Bedient: I think that is something that, is happening we haven't seen a big company lumber volumes overall again. So I think the extent that we'll see it more as bringing building season continue. So it will be something that will impact us going forward. We do have some Canadian operations ourselves as well and Gail, you referenced the western prices, I think that's also Canadian lumber coming in, puts pressure on the U.S. South as well, but so far it's not been, a huge piece.
Gail Glazerman: Okay, can you give any insights on to how your oil and gas income might be impacted by the recent collapse in oil prices?
Doyle Simons: And so let me give you a couple of sensitivities to that, I think we've done some work on that exact issue. So as you think about oil and gas prices and specifically oil prices going down there is some give and take as you would expect, but as we think about sensitivity specifically to diesel prices and how that slows through, I would tell you that we think there's probably $4 million to $5 million benefit in our earnings in fourth quarter, 2014 as a result of lower diesel prices and that's probably $2 million to $3 million in Timberlands, a $2 million in Timberlands, $2 million in wood products and maybe a $1 million in Cellulose fibers. Going forward, we would tell you that every roughly $0.10 decline in diesel prices flowing it through the system would result in somewhere in the $5 million benefit again with the relative ratios kind of like outlined earlier in terms of various businesses. So in annual basis, every $0.10 reduction in diesel prices will have a bottom line $5 million impact. Now, there are some offset as you just alluded to, one of them is, we continue to face increasing base rates for trucks and rail carriers as those continue to be tight, so that will somewhat offset some of the benefits, I just outlined and then to your point. If oil prices remained at the levels that they're currently, it will take a little time, but that would have a negative impact on our mineral income going forward. Just how much is hard to know, we haven't seen a big impact so far, but again if oil prices stay, 50 or south of 50 that would have some impact going forward as we continue to look at ways to maximize the value from our mineral resources.
Gail Glazerman: Okay, thank you and just one last quick one. Patty, can you spot us or give us any perspective on how much pulp maintenance will be in the first quarter?
Patty Bedient: I think that will have an additional in the fourth quarter somewhere, I would expect around $10 million to $15 million in additional maintenance expense. We'll have some decrease as a result of the effect of less productivity because of maintenance. You know as I said, as you think about the overall earnings for the pulp segment or say about fiber segment, it's a little difficult to project. So we try to give you a little more colour in that, we said it would be significantly lower than the fourth quarter, but probably comparable to the first quarter of 2014 which I think was somewhere a little bit north of 50, maybe 54.
Gail Glazerman: Okay, thank you.
Operator: Your next question comes from the line of Chip Dillon with Vertical Research Partners. Please go ahead with your question.
James Armstrong: Good morning, this is James Armstrong sitting in for Chip.
Doyle Simons: Good morning, James.
Patty Bedient: Morning, James.
James Armstrong: First question is, in wood products with oil prices down significantly. How much impact have you seen in resin and chemical cost so far and could you remind us of the cost buckets for that business?
Doyle Simons: Yes, so James the sensitivities that I just outlined for Gail, that we just outlined for Gail in terms of diesel prices includes the improvements in resin, but you're exactly right that's where the biggest opportunity is in terms of the lower oil prices is in the resin that we buy for OSB and ELP businesses. So the biggest component of what I just outlined is prices as oil prices move down, resin prices are moving down and the sensitivity I gave earlier is making the correlation between diesel and resin and then flowing that through to the bottom line.
James Armstrong: Okay, that's also lot and then switching gears. Any chance to retire debt in the next year, I was just wondering if there are any lockups or what's going on the?
Patty Bedient: Sure as you think about the debt, we don't have any maturity due until 2017 and for us to retire that debt in terms of premiums we would have to pay really don't make it very economics to do that, depending upon the issues, it's probably premium of somewhere between 75%, 30% slot. So we do continue to look at it, but it doesn't really seem to make a lot of sense to us at this point.
James Armstrong: Perfect and then lastly, could you just give us a update on what you expect the 2015 tax rate to be?
Patty Bedient: Sure, the tax rate always is dependent upon the mix of weak income which the tax rate is zero and GRS income which is be somewhere around 33%. So there are two things that drive that, one is rate overall which is dependent upon the mix, but we would expect that we'd beat somewhere around 18% to 20%.
James Armstrong: Okay, that helps. Thank you very much.
Operator: Your next question comes from the line of Tyler Linton [ph] with J.P. Morgan. Please go ahead with your question.
Unidentified Analyst: Yes, thanks good morning.
Doyle Simons: Good morning, Tyler [ph].
Unidentified Analyst: I was just wondering, in the west for Timberlands I know it's still early, but do you think domestic demand at this point is still strong enough to offset the weaker demand that you're seeing sort of the export markets as this time?
Doyle Simons: As we talked about at least in the first quarter, we anticipate that we will have higher earnings in Timberlands and clearly a component of the higher earnings versus the fourth quarter Tyler [ph] our higher price and that's primarily due to domestic prices being higher as you just alluded to and some mix issue. So we'll see how it plays out going forward, but as we said domestic prices are in good shape and we think that it continue, we'll just have to see what happens in terms of, I think the biggest challenge as we talked about in the Chinese markets will get through the lunar holiday, as we talked about inventory has come down and not back to where normal is, but they have come down. So our guess is, those markets will stabilize in the second half of the year as well.
Unidentified Analyst: Okay then I was, in terms of your export log volumes. I guess China has slipped they had been kind of pulling around 30% of your volumes and they were around 25% this quarter. Is that anything, is that like a deliberate effort on your part just given the weakness over there? Or really that's just function of demand from China has just slowed lot more than the demand, slowed out of Japan?
Doyle Simons: I would say both, Tyler [ph]. I mean part of it is, we have seen a little bit of fall off in demand in China as we alluded too, but we also made the conscious decision to redirect some of those log domestically because of the strong prices that we're seeing on the west coast. So it's the combination of both things.
Unidentified Analyst: Got you and I think it's finally engineered wood products side, I think you've had two quarters of pretty significant production declines. Have these been more sort of temporary cuts and do you think volumes are little bit down more towards the level that –we saw in the first half of 2014 or dipping in the volumes to kind of grow more in line off of this lower base, any thoughts on that going forward?
Doyle Simons: Yes, I think the declines one of them was kind of, it happened because of the second or third was, as we put in a price increase and moving some volume forward to the second versus the third and then the follow-up in the fourth quarter from our perspective was purely seasonal. So as we move into the stronger seasonal period first quarter and then second quarter, we would anticipate a nice rebound in volumes in our engineered wood products business.
Unidentified Analyst: Very great, thanks so much.
Doyle Simons: Thank you.
Operator: Your next question comes from the line of Paul Quinn with RBC Capital Markets. Please go ahead with your question.
Paul Quinn: Yes, thanks very much and good morning.
Doyle Simons: Good morning, Paul.
Paul Quinn: Yes, just two easy questions today. Just one is, you referenced opportunities in Timberland in North America, just wondering if you could comment on that competitive landscape out there, whether you're looking at bigger things or smaller things?
Doyle Simons: Yes, so as you know it's been pretty active in terms of activity in both the south and the west. In terms of the competitive landscape, I still think there is a lot of money out there that is looking to invest in this asset class. In terms of the way we look at it, our key criteria or we clearly are looking for opportunities that generate appropriate returns and cash flow both short-term and long-term. We look for opportunities where we can strengthen our access to strategically important markets for us or move into new markets, that we may not be in although we are in most markets, as you know. Also looking for opportunities where we can get synergies and I think Longview is a very good example of where we were able to do some things to get some mix synergies and then finally to your point. We are looking for scale opportunity. Now that doesn't mean, we won’t do some small deals and we're always in the market doing some small deals, we're really looking for some scale opportunities to continue to grow our timberland, if we can find those right opportunities going forward. So that's kind of the way, we think about it.
Paul Quinn: Okay, great and then turning over to the SoftWood Lumber Agreement. One of your competitors on a timber REIT side, this week said that he talked to Softwood Lumber Agreement served its purpose and really no longer needed. I'm just wondering what Weyerhaeuser's position is, are you happy with the current agreement, do you want to see higher import duties or is it the latter that no longer needed?
Doyle Simons: Yes, I wouldn't say some type of agreement is no longer needed. As you know, as we've talked about, the agreement set to expire later this year. I can tell you there is a lot of discussion from folks on both sides of the border discussing options for renewing that agreement and also to tell you that we are very actively involved in those discussions.
Paul Quinn: Okay that's all I had, thanks a lot. Thanks.
Doyle Simons: Thank you.
Operator: Ladies and gentlemen, we have time for one additional question. Your final question comes from the line of Anthony Pettinari with Citi. Please go ahead with your question.
Anthony Pettinari: Hi, I've a question on cellulose fibers. Given we've seen a slowing of emerging market economies and a very strong dollar. I was wondering, as we start the year putting aside the west coast port issues. Are you seeing any change in customer buying behaviour or any slowing of demand for fluff and then a related question. You have a competitor who's talked about converting a fair amount of new fluff capacity next year and I think you've debottlenecked some capacity as well. I was just wondering, how you're thinking about the fluff supply-demand balance over the next year or so?
Patty Bedient: Sure, Anthony. You know as it relates to demand for the product. Demand has continued to be very strong having said that, I think that we will likely have some downward pressure potentially on price, just given what's happening with the economies in Asia as well as just currency flows. So far we've been very pleased with the demand outlook for fluff, it is thus continue to grow, but depending upon what's happened with some of those developing economies, we could see some softening a little bit there, but really haven't seen it after a point. As it relates to conversion, I wouldn't want speculate too much because it will take some time for any conversion to come in to place and then it will just be a function of what the overall market is at that point in time. One thing I would say is that, as we talked about before, the higher quality fluff product which is where we play primarily does have a consumer product companies like Procter & Gamble who are pretty picky about the quality. So not only does it, it take time to actually do the conversion to the product, it also takes time to qualify that product. So it's something we are watching very carefully and being very thoughtful as we go forward, but the current state is that the demand, which is pretty solid.
Anthony Pettinari: Okay, that's very helpful and then maybe just switching to wood products. You’ve made some very impressive performance improvements in distribution this year or last year. I think you referenced to $20 million to $30 million improvement target for 2015. Can you drill down a little bit on the kind of the leverage you're going to pull to drive that EBITDA improvement and distribution this year and can you talk a little bit about the strategic importance of distribution as part of the broader wood products portfolio?
Doyle Simons: Yes, so in terms of the leverage that we're going to pull. There seems to be the same levers that we pulled in 2014, it's just continuing to be focused on that. As Cathy Slater talked about it in our December 9 presentation it's really a focus on what we call the five S's which is sourcing, selling, stocking, storing and shipping. So it's basically the blocking and tackling of making sure we're continuing to do things to drive down our cost structure where it needs to be and then making sure we are doing things on the sell side to maximize the profit margins of what we run through our distribution system. In terms of how we think about distribution as I've said before – that’s a business where frankly we've underperformed for a number of years. We needed to show that we could make dramatic improvements in that versus in terms of overall EBITDA improvement and where we stack up competitively. We started to do that in 2014, but still a lot of work remains to be done in terms of how we think about it going forward, that's business we need to show that we can win by out-executing the competition and generate returns well in excess of our cost of capital over a cycle and that's what we are focused on doing currently.
Anthony Pettinari: Okay, that's helpful. I'll turn it over.
Doyle Simons: Great. Thank you. Okay, so I understand it that was our last question. So I would just like to end by saying, thank you everybody for joining in this morning. More importantly thank you for your interest in Weyerhaeuser.
Patty Bedient: Thanks everybody.
Operator: Thank you. This concludes today's conference c all. You may now disconnect.